Operator: Thank you for standing by. My name is Jeannie and I will be your conference operator today. At this time, I would like to welcome everyone to the Q3 2024 NiSource Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions]. I would now like to turn the conference over to Chris Turnure, Head of Investor Relations. You may begin.
Chris Turnure: Thank you. Good morning and welcome to the NiSource third quarter 2024 investor call. Joining me today are President and Chief Executive Officer Lloyd Yates, Executive Vice President and Chief Financial Officer Shawn Anderson, Executive Vice President of Strategy and Risk and Chief Commercial Officer Michael Luhrs, and Executive Vice President and Group President NiSource Utilities, Melody Birmingham. The purpose of this presentation is to review NiSource's financial performance for the third quarter of 2024, as well as provide an update on our operations and growth drivers. Following our prepared remarks, we'll open the call to your questions. Slides for today's call are available in the Investor Relations section of our website. We would like to remind you that some of the statements made during this presentation could be forward-looking. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the statements. Information concerning such risks and uncertainties is included in the Risk Factors and MD&A sections of our periodic SEC filings. Additionally, some of the statements made on this call relate to non-GAAP measures. Please refer to the supplemental slides, segment information and full financial schedules for information on the most directly comparable GAAP measure and a reconciliation of these measures. I now like to turn the call over to Lloyd.
Lloyd Yates: Thank you, Chris and good morning, everyone. I'll begin on slide three. The NiSource investment thesis is simple. We serve our customers by delivering safe and reliable energy at an affordable value. Affordable energy requires efficient capital deployment, safe asset operations and constructive regulatory recovery mechanisms. These fundamentals generate competitive returns while enhancing our balance sheet position. Importantly, these are the foundation to the NiSource business plan which continues to offer compelling value to stakeholders. Driven by regulated utility operations across six highly constructive jurisdictions, offering diversification across fuel type and regulatory location, strong execution from our team and these business fundamentals are what have driven a trailing twelve month 9.9% earned ROE at the NiSource level, demonstrating our focus on shareholder returns despite rapidly growing deployed capital and declining financial leverage. This is a GAAP number with an adjustment made only to normalized weather. All of this informs our long-term value proposition which our teams continue to advance each quarter. But before we focus on the long-term plan refresh, let's turn to Slide four and touch on the progress our teams have made on our regulatory activity. Being a trusted energy partner and enhancing NiSource's superior regulatory and stakeholder foundation is a priority and we believe differentiates us from peer regulated utilities. We remain active in rate case and tracker filings and build our credibility through our six-state footprint by utilizing a stakeholder focused mindset as we approach these processes. Last month an administrative law judge in Pennsylvania recommended the Commission approve our general rate case multiparty settlement as filed. In October we reached a settlement in our Kentucky General rate case. Approval of both these settlements is subject to final Commission approval. In Indiana, we received approvals for both our Solar CPCN amendments to add full ownership of solar facilities as well as a CPCN they construct a gas peaking facility, all of which helped NiSource retire its remaining coal generating stations by the end of 2028. We also received approval to advance our strategy of using technology to more efficiently serve our customers through an upgraded work and asset management system which utilizes data and analytics through AI to raise productivity and efficiency across the dispatch of our operations team. This includes deferral for one time and ongoing expenses and capital returns for the program which went live in July for our electric operations and will go live next summer for our gas operations. This new technology is also an example of making strategic investments to better inform our culture and enhance risk management across our systems to deliver operational excellence for our customers. Our relentless focus on operational excellence enhances our risk management posture and drives protection for our customers, communities and shareholders, through our capital allocation framework. We face many potential categories of risk which constantly evolve and risk management is central to our values. The utility industry continues to face potential challenges head on, whether it relates to natural disasters, the interest rate environment, inflationary pressures on cost structures or other items of uncertainty. Our teams are constantly implementing proactive solutions to add layers of protection into our plans and lead industry partners to understand and utilize best practices to de risk our execution and deliver our commitments. We have high confidence in our ability to achieve our financial commitments which we believe are highly executable. We are reaffirming 2024 adjusted EPS guidance of $1.70 to $1.74 and we continue to expect to achieve the upper half of this range. We are initiating 2025 adjusted EPS guidance of $1.84 to $1.88 consistent with maintaining our existing 6% to 8% annual growth commitment. Today we are also announcing a refresh of our outlook across our five-year planning horizon and extend this commitment and our overall financial guidelines to 2029. Key elements of that plan included an updated five-year capital plan which is $19.3 billion or equivalent to 89% of our total current rate base. This is slightly larger than our prior plan's 87% of year-end 2023 rate base. This drives 8% to 10% rate base growth over to 2025 to 2029 period, which fuels our ability to increase our adjusted earnings per share growth rate by 6% to 8% annually. Our investments in strengthening the balance sheet support our commitment to target FFO to debt of 14% to 16% in all years of the plan. Our work does not stop at the base capital plan. We are fortunate to have a robust portfolio of valuable customer investments include and extend far beyond our five-year plan horizon, which Shawn will detail later. Our teams remain active in developing this portfolio of projects to meet our standards necessary to be included in our base plan. One example of work by our teams is the development of our strategy to serve the robust interest by data centre customers for power to be served by NIPSCO. The fundamentals of the Northwest Indiana region are compelling to potential data center customers, access to critical infrastructure, including a robust transmission system and proximity to critical fiber connections. Predictable climate and weather with low natural catastrophe risk and a constructive business climate, including favorable tax structures, low-cost land and a supportive state government are all favorable factors in advancing development of data centres in the region. Our teams are working to evaluate this buildout, which could provide benefits to our existing system customers, enhance our communities and local tax space and provide compelling investment opportunities for our shareholders. Northwest Indiana is a premier location for data centres to locate. Simply put, there's potential for substantial value creation for all stakeholders and checking all of these boxes is important to NiSource. Now let's focus on the core execution our teams continue to deliver upon with our regulatory engagement over the last three years detailed on Slide five. During the trailing 12-month period ending last month, our average residential gas bill declined 16% on a total bill basis. Affordability remains a key priority for both NIPSCO and the Columbia family of companies, and we continue to be thoughtful about this as we advance the critical safety, compliance and reliability work necessary to deliver safe and reliable energy to our customers. In September, NIPSCO filed its first electric general rate case in two years, driven by nearly $2.5 billion of incremental investment for our customers and communities in Northern Indiana. The case incorporates the planned 2025 retirement of units 17 and 18 at the Shafer Generating Station as well as four new solar and storage projects now reflecting NIPSCO's full ownership Major investments such as these are examples of our continued partnership with state policymakers, regulators and customers. Switching to Pennsylvania, we expect a final commission order and a new rate implementation in December. In Ohio, $285 million of investment was approved in August for our capital expenditure program rider and we expect to submit for two major capital riders in the state again early next year. In Virginia, intervenor testimony was filed in October for our general rate case and a final order is expected early next year. Before I turn the call over, I want to thank all of our employees and contractors for their dedication to NiSource values, doing things safer, better, more efficient and for less calls. Our customers and shareholders are like allowing you every day. I'll now turn things over to Michael.
Michael Luhrs: Thank you, Lloyd. Good morning. We continue our disciplined and methodical approach to developing and effectuating a robust pipeline of investments to benefit stakeholders. I'll begin on Slide six with an update on our generation investments. As Lloyd mentioned, there has been substantial progress made related to generation investments that will benefit all stakeholders. With Gibson and Fairbanks having received regulatory approval for full ownership in August, we have now converted four projects to full ownership, which will materially lower cost to customers. In addition, we have progressed well in bringing our renewable assets into service. The 200-megawatt Cavalry Solar project with 45 megawatts of storage was placed in service in May, and we expect the 435-megawatt Dunns Bridge II solar project with 56 megawatts of storage to come online very early next year. Fairbanks and Gibson are expected to be in service later in 2025 with no changes to time lines since our last update. 100% of modules for Fairbanks are already on site and Gibson is expected to have all modules delivered by early Q1 2025. In continuing the work of maximizing the benefits of our assets for customers, NIPSCO filed a notification earlier this week with the IURC that an application will be filed requesting to convert the 200-megawatt Templeton Wind Energy Center in Benton County, Indiana, which was approved by the IURC of the PPA to a build transfer agreement in which NIPSCO will own the asset upon completion. If approved, it will reduce customer costs versus the PPA structure at a valuable wind property to our generation portfolio and increase shareholder investment. It is a great example of the NiSource team at work creating a win for all stakeholders. The projects on Slide six are the result of the 2018 and 2021 NIPSCO Integrated Resource Plan and corresponding RFP processes. These projects represent billions of dollars of economically driven investment in the state of Indiana, the majority of which are already delivering zero commodity cost solar and wind, driving down fuel related charges to customers. Please turn to Slide seven. On Monday, the NIPSCO team held the fifth and last stakeholder meeting in the 2024 IRP process. potential incremental generation needs for the planning horizon are driven by three key factors: New EPA fossil fuel regulations, MISO reliability rules and data center demand. As most of you are aware, the EPA greenhouse gas scanners and fossil fuel fired power plant guidelines finalized earlier this year, may limit capacity factors, require carbon sequestration investments or hydrogen utilization for gas generation capacity. Additionally, MISO's four-season capacity construct and the reduction in capacity accreditation under the direct loss of load market design, will have a substantial impact on generation requirements in the MISO footprint. These changes, combined with the significant and growing interest in data centres and NIPSCO supports our IRP reference case, which includes these rule updates and 2,600 megawatts of data center demand. We intend to file the final IRP at the IURC in December. As we work through the major changes to electric demand, we are evaluating the most customer beneficial glide path and our 2030 interim commitment as we move towards our 2040 net zero goal. Environmental objectives remain an important component of our overall company priorities, and we have made significant progress with more than a 70% reduction relative to our 2005 CO2 baseline, and we will continue to balance customer cost reliability and pace of these investments to meet these goals. On Slide eight, you'll find an overview of capital opportunities not included in our base or upside financial plans. These items are under development by NiSource strategy and commercial teams to build the business cases to advance these opportunities for stakeholders. To highlight the breadth of opportunities we have and are developing, I will highlight two disparate examples, data and analytics employing AI and data center work. As Lloyd mentioned, we have made real progress in the strong and effective deployment of technology upgrades, but we have also been building data and analytics capabilities utilizing AI. We have built, tested and are now deploying work management utilizing AI with our gas operations, and we have already seen significant improvements, enabling operational goals, lowering cost, increasing CapEx deployment efficiency and derisking our operations. At the other end of the spectrum, our data center deal team is meeting with qualified counterparties to understand their business models and needs as we develop structures for NIPSCO to support data center generation and transmission needs while ensuring reliability for the region and protecting existing customers. We are actively working to enable access to the speed consistent with the data center demand profile. Fortunately, NIPSCO has a very strong infrastructure network in sites, which have sound technical fundamentals for generation and transmission buildout within the time frames beneficial to data center development. So, though we have not included any data center activity within our plans or upside, we continue to focus on developing and vetting potential opportunities that would be beneficial to existing customers shareholders, data centres and our communities. As mentioned, when we started, we will develop these opportunities in a methodical and disciplined manner just as we've done with the Templeton wind project. Shawn will touch on more of that next. Shawn?
Shawn Anderson: Thank you, Michael. Let's start on Slide nine. Third quarter adjusted EPS was $0.20 per share, an increase of $0.01 versus the same period one year ago. Higher rate base investments drove $61 million in incremental revenue and net financing benefits of approximately $26 million were also realized on a year-over-year basis. Customer count and usage also added $2.6 million across our electric and gas businesses versus last year and have grown over $28 million total for the year. Moving to Slide 10. Let's break down our CapEx plan through 2029. As Lloyd mentioned earlier, we've refreshed our 5-year plan outlook, which starts with a base capital plan of $19.3 billion. The enhanced base plan is $2.9 billion larger than our prior base plan, which is driven by a number of factors, including increased generation investments, gas compliance and system hardening projects, and investments to modernize our information technology systems. As Michael shared, the base plan now reflects the inclusion of the Templeton project, which shifted from our upside plan into our base plan after our teams reached commercial agreement on the ownership of the project. We have enhanced our disclosure on the new base plan to detail the investment themes we are seeing as necessary to deliver safe and reliable service to our customers. All of these investments have met our threshold to be included in the base plan, mainly based on socialization with stakeholders, compliance and safety requirements and commercial structures at an affordable value. We've also spent time refreshing the portfolio of projects in the upside plan, those that our teams are actively working on flowing into the base plan. The revised upside plan now sits at $1.8 billion, and we've included an estimation of when those projects may become viable in our CapEx charts, despite not yet being included in any of our base capital guidance or plans. The $1.8 billion upside category is slightly larger than our previous upside figure. It now consists of electric modernization, PHMSA compliance and legacy plastic and gas systems work as well as additional costs for MISO Tranche 1 projects. We continue to see increased demand for investment in our systems to deliver the growth and system capacity our stakeholders require while in alignment with the necessary operating standards. Once these projects meet our threshold to be included in the base plan, we will flow these through our full plan and provide updates along the way. I'd note here that the base and upside capital expenditures plans do not include any data center investment activity, which Lloyd and Michael highlighted earlier. We believe strongly that the data center strategy represents a compelling opportunity for NiSource. However, additional development of the strategy is required to meet our threshold to include in either the base or upside capital plans. With that said, the company is strongly positioned to advance this strategy. Continued execution on our financial commitments has strengthened the financial profile of the company, including its balance sheet positioning, which enables NiSource to be opportunistic in capital allocation decisions. The constructive regulatory backdrop in Indiana supports a utility-centric regulatory compact and the vertical integration of the business model minimizes complexity for customers and regulators, while providing flexibility around cash flow recovery. NiSource has deep access to capital markets and maintains flexibility to efficiently finance data center opportunities. NiSource also has a long-standing history of supporting large load customers in the steel industry and has experience working with large customers to deliver value for all stakeholders. Let's move to Slide 11. We are pleased to report that we have priced $600 million in common equity through our forward ATM structure, completing our stated guidance for 2024. Along with the junior subordinated notes issued this year, we've continued to strengthen the balance sheet positioning of the company. Despite the increase in capital expenditures included in our revised base capital plan, we do not expect changes to our financing plan and continue to target 14% to 16% FFO to debt in all years of our plan using a balanced mix of cash from operations new long-term debt and $200 million to $300 million of annual maintenance equity to maintain our capital structure through the use of our at-the-market program. Limiting regulatory lag and sequencing our capital expenditures through efficient capital recovery mechanisms, including capital trackers and forward-looking rate mechanisms helped NiSource minimize delays in recovery of capital deployed. Approximately 81% of our new base capital is expected to begin recovery inside 12 months, which fuels reasonable returns of capital and minimizes the need for new equity. This is the same strategy, which has enabled NiSource to achieve the 9.9% trailing 12-month enterprise ROE, which Lloyd highlighted, and which helps us use cash flow returns from the business to fund growth in the CapEx plans. Of note, we will continue to be opportunistic in the junior subordinated debt marketplace to strengthen the position of our FFO to debt as needed throughout our planned horizon. On Slide 12, you'll see our updated long-term financial commitments. The new base plan drives 8% to 10% rate base growth over the five-year period and continues our guidance of achieving annual adjusted EPS growth of 6% to 8% across each year of the plan, reflecting out through the 2029 period. The value of this is notable. As you know, we rebase long-term EPS growth guidance off of actual results and outperformance will flow through the full plan and compound when incorporating our growth rate. For example, as we initiate 2025 guidance of $1.84 to $1.88, the midpoint of this range is $0.10 per share higher than was estimated in our 2022 Investor Day driven by outperforming the midpoint in all years of our plan. And this midpoint is 9.4% above the original midpoint when we initiated guidance for 2024. We are reaffirming our guidance of $1.70 to $1.74 for 2024 and again, expect to achieve results in the upper half of this range. Additionally, we remain committed to 14% to 16% FFO to debt in all years of the plan. As was the case with our prior plan, the upside CapEx category is not required to drive any of the financial commitments shown in the upper center box, and we will flow through any impacts associated with increases to our base case capital plan from the upside plan when those projects meet our standards to be included. I'd note, we remain focused on minimizing the financial impact, better safety, reliability and compliance work has across our customer base. efficient projects like the Templeton Wind Energy Center enable an increase in CapEx plans while reducing the planned cost to customer and eliminate fuel costs for this portion of generation. Our revised plan projects less than 5% average annual bill increases across NiSource. I'll conclude with highlights of our growing track record on Slide 13. Our financial commitments are on track for 2024. We have established guidance for 2025 and remain confident in our near-term and long-term guidance remains resilient to market and forces outside our control and are based on realistic and executable assumptions. Settlements in our Pennsylvania and Kentucky rate cases and approvals for numerous Indiana generation and technology investments underscore our execution of recovery for critical investments to ensure safety and reliability of our systems. Year-to-date financing activity has been completed and the diversification utilized and the junior subordinated debt marketplace demonstrates our balance sheet flexibility and continues to fortify our balance sheet positioning. Lastly, our base and upside CapEx plans demonstrate both programmatic investment plans and accelerated investment opportunities for customers and investors to reiterate our rate base and adjusted EPS guidance include neither the upside CapEx nor any data center load or investment and are built upon the known and socialized regulatory programs, which have contributed to the 8.1% adjusted EPS growth rate we've executed since 2021. The value proposition NiSource continues to offer investors is diversified and regulated utility assets with the opportunity to invest in both programmatic gas infrastructure and the long-term energy transition story of a fully integrated electric business. These elements have been core to our story for some time, but the emerging opportunity to support economic development, onshoring and new data center development truly differentiate our value proposition relative to many alternatives in the market today. I'd now like to turn the call over to the operator for Q&A.
Operator: Thank you, the floor is now open for questions. [Operator Instructions]. Your first question comes from the line of Nick Campanella with Barclays. Please go ahead.
Nicholas Campanella: Hey, good morning. Good to see everything playing out from the Analyst Day here. So, congrats on that. So, in your prepared remarks, you kind of talked about you're having discussions continuing with data centres. And I understand that the recent increase in CapEx was largely just on the gas side, it seems. So just can you kind of talk about what the catalysts that we should be watching for, for you to kind of layer in those opportunities. Is it getting through an NIPSCO rate case? Is it finishing those discussions on what the tariff looks like? And what would the timing of that be?
Lloyd Yates: So I'll start, and I'll let Michael Luhrs provide more detail NiSource sees the data center opportunity is just a really good incremental investment opportunity. But I think for the company and where we are now, it's primarily a 2025 activity. I think as we progress in discussions with some of the counterparties, who want to kind of get down to the detail and make sure that we do this in a disciplined and methodical way, and that's just going to take time. And if you think about what we just with Templeton Wind project. I mean our ability to do things in a disciplined, methodical way has been probably one of the keys to why we've been executing so well. So, Mike, anything to add to that?
Michael Luhrs: No, you hit it, Lloyd, we were going to work through these opportunities in a manner, as you said, disciplined and methodically, make sure we're providing the benefits to existing customers, that it's accretive for shareholders. And then as we come through those opportunities at which point they are accretive or we know that they're beneficial, we will bring them forward just as we do with the Templeton Wind project today.
Nicholas Campanella: Okay. So, is it the right take that these are truly incremental to the plan that the balance sheet can absorb it and that the customer rates can absorb it? And maybe you can kind of just clarify on if you raise CapEx from here, does that require additional equity financing? Thanks.
Shawn Anderson : Yes. Just to be clear, the $19.3 billion capital plan is fully financed through all the systems that we've shared with you today. The $1.8 billion of potential upside CapEx may require modest amounts of equity based on the cash flow profiles of those projects, when they get sequenced and how it would work through the regulatory mechanisms themselves. The incremental investment opportunities are not captured in any of those systems that I just highlighted. That's where data center investments would theoretically live. Therefore, we would have to reevaluate everything to incorporate incremental investment opportunities through our systems. But we don't need a full planned refresh to do that, we'll flow those through our systems, and you'll know those when we know those through this mechanism.
Nicholas Campanella: All right, have a great day. Thanks.
Operator: Your next question comes from the line of Julien Dumoulin-Smith with Jefferies. Please go ahead.
Julien Dumoulin-Smith: Hey, good morning, team. Very well done, truly impressive. Those are not your average LDCs, I got to say. In fact, to that end, just understand the staggering of different data points here. I mean just impressive CapEx update here, the $1.8 billion upside here. I mean, you're going to get a number of these data points over the next year, that's not something we should be looking to with 4Q. That's going to be a year out. The AI data center-related data points here, given the December IRP, that's a 4Q update presumably, correct?
Shawn Anderson : Yes. Let me just step through it real quick. So, the $1.8 billion of upside CapEx, you can actually see it in the capital allocation side that we shared. But to your point, we don't see much upside CapEx in 2025, but we do see some start to emerge in 2026, 2027. And you can kind of see it layered in. We'll continue to move those around on those bars based on the profile and the development of those projects. As we know more, we'll update that CapEx allocation on where those upside opportunities might land. And then in terms of updates, the IRP, it seems we're clearly working through the preferred portfolio and what it takes to action those. Likewise, with data centres well underway and under development. I imagine both are pretty significant strategies for the company. Therefore, I imagine we'll discuss those on the 4Q call, but I don't know yet what the outlook will be and how those will be incorporated. Again, we'll need to do the commercial development and understand the value creation for all stakeholders. Once we understand that and roll that through the systems, we'll post it here on the call.
Julien Dumoulin-Smith: Got it. Excellent, guys. And if I may, can I open up -- can I get around the details of this -- the data center proposal here, right? You've got the various different iterations here. But the base 2.6 gigawatts here, as you talk about, I mean, is there any kind of thought process that you'd walk though? I mean, I know you can put basic dollar per kilowatt assumptions, maybe some baselines on what you historically owned. Anything that you'd offer up as initial observations to start to translate this kind of a number here, if you will, in a little more detail.
Lloyd Yates: Michael, do you want to take that?
Michael Luhrs: Yes. Thank you. The only thing I'll add to that associated with it is if you look at the IRP detail, you can see what we posted on Monday. What the 2,600 megawatts imputes relative to generation assets and what those assets would entail associated with it. And the investments associated that would be required in storage and CCGTs and other mechanisms. But at this point in time, we don't have additional detail out to that, just as Shawn said, that would be more of a 2025 activity. As Lloyd commented, I will comment that we have multiple scenarios in the IRP process, covering a range of outcomes and opportunities, including an upside case associated with 6,000 megawatts, but again, you can see from the materials, sort of what that could potentially entail associated with assets.
Julien Dumoulin-Smith: Yes. Got it. But at this time, no specific views on percent palatable to own?
Lloyd Yates: No, not at this time.
Julien Dumoulin-Smith: Excellent. All right, guys, thank you very much. We'll see you soon. Nicely done.
Operator: Your next question comes from the line of Richard Sunderland with JPMorgan. Please go ahead.
Richard Sunderland: Hey, good morning and thank you for the time today. Maybe I'll just pick up on what Julien was asking on just now again, the 2.6 gigawatts in the load scenarios and the IRP, I think that's really clear. But as you've showed with Templeton, you've also done a lot of work on generation that's outside of this kind of data center load opportunity that we're all focused on. I'm curious what type of generation you might need in the IRP regardless of said data center load shows up or not? And maybe just the sort of generation needs overall, given you've done a lot of this work to convert PPA projects into company-owned projects? Kind of how do you think about that bucket broadly going forward?
Michael Luhrs: Yes. I'd be happy to talk about that more. So, when you look at what we've done, just hitting on one of the points you made. We have done a lot of work associated with the generation assets, which are very beneficial relative to customers and all stakeholders and shareholders associated with it. We will continue to do work like that to make sure we're maximizing the opportunities and the benefits to all parties. And so, we're excited about the opportunity associated with Templeton should it be approved by the commission. When you look at the IRP and the elements going forward, in pretty much all cases especially given the DLOL rules for MISO, you need storage and you need between 500 megawatts and a gigawatt of storage associated with it. And that's to help address those different accreditation methodology for MISO and the impacts of them. At the same time, to statable resources, we've all known that statable resources will be necessary, batteries help with that. But at the same time, you also are going to need additional spinning assets such as gas turbines or peakers. You see that when you look at those scenarios, regardless of data centres, you need more dispatchable resources, that will show up in most likely the form of cash generation. I will emphasize with that. We are still focused on our 2014 goal and we continue to work through those, even though we make sure that we're doing our interim goals associated with it in the most customer beneficial way. But you can just see from those what those potential assets look like in the near term, even though I will say -- as you look at that, most of those assets would be in the sort of as you're looking beyond the 2029 kind of time frame associated with it. So not as much in the next couple of years, as Shawn highlighted. And then obviously, the resource plan goes significantly further out, which then there's significantly more resource potential additions as you move through time with the EPA rules.
Richard Sunderland: Great. Thank you for that color there. And then again, kind of zooming out here on the data center opportunity, I realize there's a lot more work and you've been clear on some of the commercial efforts. But going back to the summer with that big Microsoft project announcement, curious if you could say anything more on that front? Is that -- given that's out there, is it something closer along to getting firmed up and added to either your base or your upside plan. And anything else you could say there about kind of the work going forward on that?
Lloyd Yates: The point is, I think all of the data center, the activity and the associated work with the counterparty is primarily the 2025 activity. And Microsoft did announce that last year, but I think the timetable we're on is 2025.
Richard Sunderland: Got it clear enough. Thank you very much.
Operator: Your next question comes from the line of Durgesh Chopra with Evercore ISI. Please go ahead.
Durgesh Chopra: Hey team, good morning. Thanks for giving me time. Just first quick clarification is Templeton Wind. I just want to be clear on this. That's in the base plan. Is that correct?
Lloyd Yates: Yes. We just moved that -- the upside to the base plan.
Durgesh Chopra: Okay. Perfect. And then maybe, Shawn, I know you kind of talked to the equity staying the same, but it's a substantial increase in the capital plan versus five years like close to 20%. And you talked about 81%, I believe, was the number that you called out, getting recovery in the zero to six months. Is it just that with this -- even with this capital increase, you don't have to issue any more equity? Or is this more regulatory filings, perhaps an improvement in ROE, maybe just a little bit more color around that front would be helpful.
Shawn Anderson : Yes, sure. Appreciate it, Durgesh. More efficient capital allocation, which minimizes regulatory lag. That's really the key, and it supports a higher cash flow from operations, which we're seeing across our systems, maybe about 10% over the course of the plan horizon. That's helping to contribute to a more efficient financing structure. But again, I'd note we worked ahead here in 2024 on credit quality, both in terms of outperforming our financial projections in the current year and utilizing the junior sub marketplace for $1 billion of funding, which were not initially in the plan. So, we've already made some of this progress to date and we're capitalizing on some of that benefit also.
Durgesh Chopra: Got it. So, I mean you have some breathing room to start with. Okay. Final question, just on flat O&M. You've had this guidance for a few years now. So maybe just how you're thinking through that? I understand, obviously, there's a large increase in the capital program. With that comes higher operating expenses, well, I would assume, but generally, growth in the business, inflation has come down, but it's still there. Just how are you thinking? What's the confidence level in sort of extending that flat O&M as we go to sort of latter years of your financial plans?
Lloyd Yates: So Durgesh, I mentioned in the value safer, better, faster and more efficient and to lower cost. And I think there's a lot more opportunity at NiSource to drive those values through the organization. We talked about our work in asset management process and using AI to improve our schedule and efficiencies. So, our hands on time and our workforce has gone up and we're just getting more done with the people we have. And I think when you look at the foreseeable future, I do see -- continue to see flat O&M Project Apollo is in its second year, and there's just a whole lot more opportunity. So, we see being flat for the foreseeable future by being more effective and more efficient.
Durgesh Chopra: That's very clear. Congrats, guys. Thank you.
Operator: Your next question comes from the line of Ross Fowler with Bank of America. Please go ahead.
Ross Fowler: Morning, Lloyd. Morning, Michael. Morning, Shawn, how are you? So, you mentioned sort of MISO capacity in the prepared remarks. So, I just wanted to dig into that a little bit. Clearly, they've adopted some of the constructs for the next auction that PJM also has. And so, we saw what happened in PJM with higher capacity prices we saw sort of what the feedback there has been. I guess a couple of questions related to that. Do you feel like the IRP and the rate case and sort of the vertically integrated model in Indiana allow you to get that conversation going with the regulator get in front of what we might see for an auction result next spring. And then in the context of the IRP, you talked about data centres and sort of the demand being a 2025 kind of thing. How do you think about the risk of timing related to the demand coming in over time, right? Because it still takes time to build the data center and the ability to sort of build disbatchable generation, which we're hearing takes sort of four, five, six years by the time you get the permitting and the turbine and that sort of thing. So maybe contextualize.
Lloyd Yates: Yes. Let me start that Mike can weigh in. You think about NIPSCO, where we serve electricity, even though we're part of MISO, we continue to be a vertically integrated utility, responsible for generation transmission and distribution. I think the MISO model gives us a competitive advantage in terms of speed to market to facilitate some of these data center load. I think with respect to the speed, the data center grows or below demand, I think that's part of the conversation of the activity for 2025. At what pace can we build it? And can we build to match the demand of those data center loads as part of the conversations that we're having that will go into 2025. Mike, anything to add to that?
Michael Luhrs: The only thing I would add is when we go through the IRP process, it includes stakeholders across it. So those conversations relative to MISO accreditation the scenarios around it, the EPA requirements, which may require carbon sequestration and storage have already been gone. So, we've been having those conversations with stakeholders now and introducing that, what the impact of that would be and also what that means some potential portfolios. The only thing I would highlight relative to data centres in addition is that we are working through those activities, and I would just say we are well aware of the demand requirements of the entities associated with what they would want to do. So, as we work through it in a methodical and disciplined fashion. I would also say we're working through what it takes to meet that demand in a methodical and disciplined fashion to satisfy our customer needs.
Ross Fowler: Okay. And then I guess on the capacity auction, if you do get a high capacity clear, which you've already kind of seen in Missouri and ISO I know you're a different zone, but given the rules they've adopted with the VR curve sector. Do you worry about that in conjunction with your regulators? And does that eat into a little bit of a headroom? Or how should I think about that? Should we be going the same capacity price direction in MISO that we've seen in PJM?
Michael Luhrs: My comment to that would be, and then others can jump in associated with it. My comment to that would be that's one of the reasons the vertically integrated model has so been official associated with it. because we have requirements and whatever is brought to bear that we have to provide for the reserve margin on top of that as well as what's associated with the accreditation reduction. So, I would say, fundamentally, supply/demand, we're helping to keep that supply-demand in balance associated by what we're doing and what we're looking at would be required in resource additions, which is also why we included the case -- the reference case with 2,600 megawatts of potential large low like data centres and the scenario upside. So, though we are always cognizant of that and focus on what that impact the customers in, I would also say that vertically integrated model helps mitigate a lot of that risk.
Ross Fowler: Thank you for that.
Operator: Your next question comes from the line of Travis Miller with Morningstar. Please go ahead.
Travis Miller: Hello everyone. Thank you. Good figure, another data center question, and perhaps this is just a clarification and the clarification of all the clarifications you've given. But do you technically need to build anything, put infrastructure in the ground to allow power to flow to that Microsoft center initially and then maybe one or two others. That's more of a technical question, right? Do you actually need to build anything in the short term to get these first couple of data centres online?
Lloyd Yates: Yes, we would need to build to facilitate the kind of low demand we're talking about, whether it's Microsoft or any other counterparty.
Travis Miller: And is that more generation or transmission for the first for the Microsoft Center and maybe one or two others.
Lloyd Yates: Most of these investments would require both generation and transmission.
Michael Luhrs: The only thing I would add associated with that, though, is as mentioned before, we do have a very beneficial territory associated with that from what we have in transmission capability capacity as well as we have great sites associated with that generation. But when you look at the demand associated with all these entities, you are going to have to add additional resources and additional infrastructure in order to meet the high load factor and high reliability demand of those entities.
Travis Miller: Okay. So literally, the Microsoft Center that was announced can't come online until you build new generation or new transmission, however, that works out.
Michael Luhrs: I wouldn't infer that from it. I would just infer that when you're talking about adding significant scale associated with the system, you have to make sure that you're meeting the reserve margins and reliability requirements, saying that they can't come online without any of that in place, I would say, would be sort of going a step too far associated with it.
Travis Miller: Okay. Got it. And then on the different topic gas demand. What are you seeing right now in terms of gas demand? And how much gas demand growth is in your new and extended CapEx plan assumption?
Shawn Anderson : Yes, we're still seeing a fair amount of growth across our service territories, most notably, Virginia, Central Ohio continue to grow and continue to extend the system. We're still seeing customers close to 1% on a net customer basis, the total number of additions we have minus attrition is ending at about net 1% for the gas businesses. We continue to see demand from an economic development standpoint for onshoring and for gas pipelines to support electric vehicle battery manufacturers and a few other examples that we have across the service territory. We tend to be a little bit bearish in our forecast as it relates to total customer additions. Economic development and customer growth can be hard to predict. Therefore, we tend to mute what the forecast looks across the horizon for total customer count growth, but we're continuing to see close to that 1% on a trailing 12-month basis.
Travis Miller: Okay, great. I appreciate all the thoughts.
Operator: Your next question comes from the line of Gabe Moreen with Mizuho Securities. Please go ahead.
Gabriel Moreen: Hey, good morning, everyone. Just following up on the last question around gas. Can you just maybe give a little more color on the step change within Columbia CapEx? Are you accelerating work here? Is it costing more? Are there any discrete projects at various jurisdictions you point to. And then sort of as a second part to that, can you just talk about to what extent any changes in the gas forward curve, which has come down since the last five-year plan may or may not have played into the CapEx increase as well as the ability to keep customer bills 5% or lower? Thanks.
Shawn Anderson : Yes. You bet, Gabe. I appreciate the question. So the gas system hardening work that we're seeing. I don't know if I'd necessarily call it a step change so much as a glide into what the requirements will be for the completion of the Bersteel replacement programs. Some new first-generation plastic replacement programs are starting to pop up as well. We do have some gas AMI investment, which we've been focused on, and we would like to continue. We think that drives great efficiency and better service for our customers. So, there is some of that included as well. But IOI in-line inspection work continues as well as some transmission compliance. We expect that some PHMSA of rulemaking as well in the new year could give better indications on time lines associated with the compliance requirements for linked detection rules. So, there's a whole host of things for us to do to help harden the gas system, and that's what you're seeing in the capital allocation itself. And then in terms of the forward-look gas curve, the average cost for gas right now across our service territory is about $2.20, we've used the NYMEX curve in this forecast, which increases that by 43% next year, an additional 12% in the subsequent year. So, it already reflects a pretty healthy step up in gas costs that's included inside that fuel that we've projected across the horizon.
Gabriel Moreen: Great, thanks Shawn.
Operator: Your next question comes from the line of Ryan Levine with Citi. Please go ahead.
Ryan Levine: Good morning. Are there any steps that have been taken for NiSource or NIPSCO to enter a Q for critical gas generation infrastructure that could help accelerate the time to market for your customers?
Michael Luhrs: Yes. I wouldn't get into those specific details associated with what we've done on those activities based as we're going through the commercial discussions. I will just say that we have been appropriately planning associated with what's needed just as the previous question was asking relative to there's any infrastructure required. All these facilities require some level of infrastructure, whether it be substation, transmission, generation, et cetera. But we have been -- we're appropriately aware and have been calibrated to that and have been positioning ourselves effectively.
Lloyd Yates: One of the advantages of NIPSCO is our proximity to the gas supplies to the Utica and Marcellus shales. So, I think as you look at these opportunities, I mean we mentioned earlier, approximately a robust transmission -- electric transmission system in proximity to gas supply are just critical advantages for the company.
Michael Luhrs: And I will add one more thing to that. We are seeing that gas benefit and that gas benefit across territories in more than just Indiana. We see it in other of our territories because it's very beneficial relative to not only the onshoring, but also for data center activities. And other areas as a look of how to address potential power shortfalls in other areas.
Ryan Levine: And maybe a follow-up, given maybe increased demand for this type of infrastructure, how much of your new CapEx guidance change is associated with items previously in the plan costing more versus additional items being added to the CapEx plan?
Shawn Anderson : Ryan, I don't think we have that exact calc on what's an inflationary increase versus a change in compliance requirements, regulation requirement or what's necessary for us to deliver reliability for our customers. So wouldn't be able to parse it down. But I think the thematic answer is that additional work not the cost of the same work is what's driving the cost -- the direction it's headed. And we just continue to see the cost of compliance and regulation to increase, whether that's coming from EPA, whether that's coming from MISO and FERC whether that continues to come from PHMSA is really the driver of the capital allocation increase.
Ryan Levine: Thank you.
Operator: That concludes our Q&A session. I will now turn the conference back over to Lloyd Yates, CEO, for closing remarks.
Lloyd Yates: Thank you for your interest, and thanks for your questions today. Thank you for your interest in NiSource. And we look forward to seeing all of you at the EEI financial conference in a couple of weeks.
Operator: This concludes today's call. Thank you for joining. You may now disconnect.